Operator: Good morning and thank you for joining us for RPC, Incorporated's second quarter 2010 earnings conference call. Today's call will be hosted by Rick Hubbell, President and CEO, and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. (Operator Instructions) Jim will get us started by reading the forward-looking disclaimer.
Jim Landers :  Thank you, Katie, and good morning, everybody. Before we begin our call today, I want to remind you that in order to talk about our Company we are going to mention a few things that are not historical facts. Some of the statements that will be made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today along with our 2009 10-K and other public filings that outline those risks, all of which can be found on RPC's website at www.RPC.net. I also need to inform you in today's earnings release and conference call we'll be referring to EBITDA, which is a non-GAAP measure of operating performance. RPC uses EBITDA as a measure of operating performance because it allows us to compare performance consistently over various periods without regard to changes in our capital structure. We are also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website provide a reconciliation of EBITDA to net income, which is the nearest GAAP financial measure. I invite you to review that disclosure if you're interested in seeing how it's calculated. If you have not received our press release, please call us at 404-321-2140, and we'll provide one to you immediately. I will now turn the call over to our President and CEO, Rick Hubbell.
Rick Hubbell :  Thank you, Jim. This morning we issued our earnings press release for the quarter ended June 30, 2010. In a few minutes, Ben Palmer will discuss our financial results in more detail. At this time I would like to provide you with a few operational highlights. The second quarter of 2010 was RPC's third consecutive quarterly improvement following the severe downturn of 2009 and at the same time representing one of our best quarters. Our success and continued sequential improvement are the direct result of our ability to serve our customers' increasing needs. Our employees have effectively anticipated and responded to the industry's transformation to unconventional drilling and completion and movement into new geographic regions. While our pressure pumping business accounts for a large portion of our financial results, improved pricing and activity levels for our other service lines, including coil tubing, rental tools, and snubbing contributed to the second quarter's improved results. In response to additional customer opportunities, we have committed to increase our pressure pumping fleet by an additional 50,000 horsepower. This increase is in addition to the 90,000 horsepower announced during our last conference call. All this equipment should be delivered by the end of the first quarter of 2011, at which time we will have 430,000 hydraulic horsepower in service. With that overview, Ben Palmer, our CFO, will provide some financial details.
Ben Palmer : Thank you, Rick. For the quarter ended June 30th, revenues increased to $252.9 million, a 99.1% increase compared to the prior year. EBITDA for the second quarter was $85.2 million compared to $13.5 million the same period last year. RPC reported an operating profit for the quarter of $52.1 million compared to an operating loss of $19.5 million in 2009. Our net income during the current quarter was $31.6 million or $0.32 diluted earnings per share. Cost of revenues in the second quarter increased from $91.1 million in the prior year to $139.5 million in the current year. This increase in costs was due to a variety of factors all relating to higher business activity levels, and this included salaries and wages, incentive compensation, materials and supplies, maintenance and repairs, and fleet and transportation cost. Costs of revenues for the second quarter as a percentage of revenues decreased from 71.7% in the prior year to 55.2%. This decrease was due primarily to increased operational leverage associated with higher revenues resulting from our work in unconventional formations, together with decreased discounts and overall greater utilization. Selling, general, and administrative expenses during the quarter were $29.5 million, an increase of 26.1% over the prior year of $23.4 million. Because of our ability to leverage these fixed costs over higher revenues, SG&A costs as a percentage of revenues decreased from 18.4% last year to 11.7%. Depreciation and amortization was $33.4 million for the second quarter, an increase of approximately $1 million over the prior year. Our technical services segment revenues increased 105% due to improved utilization of the entire fleet and improved pricing. Operating profit was $46.3 million compared to an operating loss in the prior year of $15.2 million. This improvement was due to higher revenues and the associated leverage of fixed costs. Revenues in our support services segment, which is comprised mainly of our rental tool service line, increased 60.6%. This segment generated operating profit of $6.6 million, compared to and operating loss of $1.6 million last year, primarily due to higher activity in the service lines within this segment. Switching over to RPC's sequential results, our business experience continued improvement compared to the prior quarter. RPC's consolidated revenues during the second quarter increased again to $252.9 million from $213.1 million in the first quarter, an 18.7% increase. Revenues increased due to significantly higher activity levels and improved pricing, especially in selected unconventional plays. Second quarter cost of revenues as a percentage of revenues decreased from 60.8% in the first quarter to 55.2% in the second quarter as a result of better pricing and leveraging personnel costs over higher revenues. SG&A expenses increased $1.6 million or 5.9% from the prior quarter primarily due to higher incentive compensation. However, SG&A as a percentage of revenues decreased from 13.1% to 11.7% due to leverage from higher revenues. RPC's sequential EBITDA increased 54.2% from $55.2 million in the first quarter to $85.2 million in the second quarter. Our technical services segment revenues increased 17.8% to $225.5 million and generated an operating profit of $46.3 million, compared to an operating profit of $25 million in the prior quarter. Almost all of our service lines within this segment experienced pricing and utilization improvements with our pressure pumping, coil tubing, down hole tools, and nitrogen businesses leading the way. Our support services segment experienced a 25.8% sequential revenue increase and generated an operating profit of $6.6 million during the second quarter, compared to an operating profit of $1.9 million in the first quarter. Our rental tools business experienced higher activity levels, coupled with improved pricing. Second quarter 2010 capital expenditures were $46.5 million. Capital expenditures for the year are now projected to be $210 million. Approximately 50% of our 2010 capital expenditures relate to expanding our pressure pumping fleet, with the remainder being invested to expand other service lines and for capitalized maintenance. At this point, we expect substantially all of this equipment to be in service and generating revenues by the first quarter of 2011. Outstanding debt under our credit facility at the end of the second quarter was $100.9 million. We have plans to refinance this facility, which matures in September of 2011, within the next 45 days. Our ratio of long-term debt to total capitalization was 18.4% at the end of the second quarter, compared to 22.3% as of June 30, 2009. With that, I'll turn it back over to Rick for a few closing remarks.
Rick Hubbell : Thank you, Ben. The transformation to unconventional drilling has created additional opportunities in the oil field services market. As this trend continues, we are seeking to strategically position ourselves to take advantage of those situations best matching our strengths. The recent event in the Gulf of Mexico has had far reaching effects. While RPC was very fortunate to avoid any direct financial impact, there is little doubt that the oil field exploration industry will face increasing regulatory scrutiny for the foreseeable future. In spite of this uncertainty, we remain confident in RPC's long-term prospects. I'd like to thank you for joining us for the conference call this morning. And at this time we'll open up the lines and answer your questions.
Operator: (Operator Instructions). We'll take our first question from Jeff Tillery with Tudor, Pickering, & Holt.
Jeff Tillery - Tudor, Pickering, & Holt :  Could you guys give us an update on the first 90,000 horsepower order? Just any change in deliveries? Any change in the contracting status of that equipment?
Rick Hubbell :  No particular change.
Jeff Tillery - Tudor, Pickering, & Holt :  I guess last call you guys thought you were close to signing some contracts for those, seeing if those were finalized or anything, any color you could provide along those lines.
Rick Hubbell :  We're clearly much further along than we were before. It's indicated also by the fact that we've increased the amount of capacity that we're bringing on. I think we said before too that some of those initial contracts we expect to start early in the fourth quarter and so we're still on track for that.
Jeff Tillery - Tudor, Pickering, & Holt :  I guess on the Q1 call was discussed utilization in your stimulation fleet was pretty close to being full out. In the second quarter it looks like in addition to pricing you did achieve some improved utilization. Could you just provide some color? Is that coming from more 24-hour operation, more days per week being worked? Just a little bit of color of how you're able to continue to eke out some utilization increases.
Jim Landers :  I think the answer probably relates to end of first quarter run rates compared to what happened during the second quarter. You recall our first quarter and the things that happened then, those weren't a full quarter of impact and they were during the second quarter. So I think that's the best answer.
Jeff Tillery - Tudor, Pickering, & Holt :  And so that leads to probably what's going to happen in the third quarter. There's got to be some pricing momentum that built through the second quarter, so you didn't fully experience all of the pricing, kind of full impact in Q2 of the pricing that you achieved. Is that fair? And then how do you think about incremental margins for the third quarter?
Jim Landers :  I think that's fair. You're asking for a prediction about pricing momentum, which would be difficult for us. But yes, that's fair and incremental margins, if revenue improves in the third quarter, would certainly help the bottom line, that's for certain.
Jeff Tillery - Tudor, Pickering, & Holt :  What do you think about those, I guess some technical services that were 60% this quarter. I would think about an environment where there's no pricing improvement, those being 35. I mean is it reasonable to think about 50% incremental margins in the third quarter?
Jim Landers :  Depends on a lot of different variables. Also I think, as we pointed out before, we are in the process and we'll continue to hire employees for the equipment that's coming on board. So that's going to be a cost that'll be factored in there. So all things being equal, the increases would be slightly less than they would otherwise be.
Jeff Tillery - Tudor, Pickering, & Holt :  And then my last question just on support services, really big profitability improvement in the second quarter. Any reason to think that that's not sustainable as you go forward?
Jim Landers : We think that level is sustainable. I don't think the increase is. They won't increase at the same level.
Jeff Tillery - Tudor, Pickering, & Holt :  But the absolute level.
Jim Landers : Yes, there's nothing unusual in those numbers. That should continue.
Operator:  Your next question comes from Andrea Sharkey with Gabelli.
Andrea Sharkey - Gabelli :  I was just wondering if you could maybe help us out a little bit in terms of how much pricing was up and maybe that contribution to margin versus just higher volume and maybe what that split was.
Jim Landers:  As you know, the statistics get a little bit muddier as the business changes and we go from four or five hour pumping jobs to six day jobs. So the mix is difficult to measure. Sequentially we did have some pricing improvement in the spot market for pressure pumping and in a lot of our other service lines. It depends on the service line in terms of how that would have gone. If you're looking for a sequential answer, it's probably two-thirds of the improvement would be because of our utilization and the new type of work we're doing. The rest of it would be pricing.
Andrea Sharkey - Gabelli :  And then I was just curious, in terms of adding more capacity, have you seen any changes in pricing for your pressure pumping equipment that you're ordering? And any problems or lengthening lead times on getting that equipment?
Ben Palmer : At this point with the orders we have in, we're pretty much on schedule. Obviously you have to work hard to manage that and work with the fabricators to overcome any difficulties or obstacles that come up. But we feel good about the delivery schedules at this point that they're very close to what we had originally planned. We haven't really tested the market beyond our current orders, so no particular difficulties at this time. But it's something that we're very much focused on and are watching very closely.
Andrea Sharkey - Gabelli :  And then I was just curious, you just mentioned before, and you mentioned on the last call that we're going to see an increase in costs for labor that you're going to have to hire for the new pressure pumping equipment. Have we seen any of that yet in the second quarter? Or is that going to be the majority of that starting next quarter?
Ben Palmer :  Some of it is in the second quarter, but it'll be a larger impact here in the third quarter clearly, because it'll carry through the whole quarter.
Andrea Sharkey - Gabelli :  And then just last question for me. Patterson UTI recently acquired Key Energy's assets, pressure pumping assets. I was just curious if you think that that will have any change on the competitive landscape in the market that you're in. Maybe Patterson being a little bit more focused on it than Key was, and how you might be positioning to help combat that.
Rick Hubbell : Patterson's a good competitor. They are larger now in some of the markets where we're focused. But we don't currently believe that it's going to have a significant impact on us. We're not doing anything different because of that change, but we will keep an eye on it.
Operator:  We'll go next to John Tasdemir with Canaccord.
John Tasdemir - Canaccord :  Just a couple of things on your expansion plans and the market maybe before you talked about expansion in the Bakken and the Haynesville. Can you give me a sense of the new capacity that's coming? What markets you're focused on and how entrenched you are now in some of the areas.
Jim Landers:  For competitive reasons, we'd probably like to give you a little murkier answer. It's the places you'd expect probably. And also it's opportunistic. We are working on advancing customer relationships, seeing where they need us the most because we work for certain customers across a lot of different markets. And so there's sort of a fairly complex decision matrix that goes along with that. So it's kind of where you'd expect.
Rick Hubbell:  Yes, I think the decisions on where we go and what customers we work with, we're certainly looking at trying to remain diversified. We don't want to become too focused with any one customer or region. So this does give us an opportunity to again continue to diversify and we like that. That's something that we think is important. And we're managing that and working through that. And we're lucky enough to have a number of opportunities that have been presented to us so we can do that analysis and make those decisions that are best for us.
John Tasdemir - Canaccord: I understand the answer. When you think about this new capacity or contracts today versus how contracts were set up the last few years, are you getting more interest in locking down some equipment for extended periods of time? Is that how your contract negotiations are going?
Rick Hubbell:  Yes, absolutely, yes. It's certainly longer terms, more stringent definitions. And the contracts or the agreements are one thing, but I think it's just working much more closely with our customers, achieving efficiencies, being much more coordinated with them. And both they and we understand the benefits of doing that and part of that is committing over a longer period of time to work together and not be driven so much by current pricing in the market and having to combat that. So it's creating a little more certainty and again, coordination and cooperation between us and our customers.
John Tasdemir - Canaccord: That makes sense. And then I guess the final question I have and I'll just kind of beat you up a little bit on some of the following up of some of the other questions. And it's really just trying to understand given where your utilization and more pricing is, I think we're just trying to get a sense of what type of top line growth can you see sequentially as we look into the third quarter. And obviously the margin now, I don't expect you're going to give us all that, but can you give us a sense of maybe as you went through the second quarter, how the beginning of the second quarter looked versus the end of the second quarter. I mean are we talking another 5% type of top line growth going into the third quarter? Any help would be helpful.
Jim Landers:  During the quarter we had some slight sequential improvement during the three months of the quarter. So we can definitely say that. And certainly profitability was strong during all three of those months. There's always uncertainty when you're bringing on new equipment. One thing that we have definitely learned now as opposed to our last growth plan is that you bring on employees, and you train people, and you do all those kind of things way in advance of the equipment coming. So we're doing that and the near-term margin impact is probably a little less certain than I'd like it to be. So that makes the answer a little bit difficult. But certainly during the quarter, during the three months we had some sequential growth during the time.
John Tasdemir - Canaccord: Well, I mean I think that answer also is pretty consistent with what the market's telling us too as far as adding people on inflation and things like that. So makes a lot of sense. Anyway, that's all guys. Thank you very much.
Operator:  Your next question comes from William Conroy with Pritchard Capital Market.
William Conroy - Pritchard Capital Market :  First question is during the quarter, did you see the concentration either among customers or among basin change versus 1Q? In other words, was one area or one customer particularly hot for you?
Jim Landers:  Not necessarily, unless you want to think about the sort of ending Q1 run rate versus Q2. But there was nothing of a business from a real fundamental business point of view that represented a change.
William Conroy - Pritchard Capital Market :  And changing gears, with the additional CapEx can you give a little bit more detail on where that's going? Should we expect to see more in say, CT?
Jim Landers : Some in coil tubing, most of it in pressure pumping. And really those are the two big areas. But mostly pressure pumping.
William Conroy - Pritchard Capital Market :  And last thing, maybe following onto that a little bit, Jim. Can you give us just a little bit more detail on how the CT business and through tubing solutions performed during the quarter?
Jim Landers : Both performed well. Coil tubing was a strong performer. I think you know and other people know that we've invested in some of these larger diameter coil tubing units where there are just more and more applications. They can do better in longer laterals and they just have a lot more use in the operating environment that we find ourselves in right now. So year-over-year, and certainly sequentially, coil tubing was good. And through tubing solutions continues to be strong as well for kind of the same reasons. Through tubing solutions tools and motors go on the end of a coil tubing string and the longer the lateral, the more bridge plugs you need, and you drill them out more, and you isolate more zones, and frac more, and you use coil tubing for that. So that's a nice little virtuous cycle for us there.
Ben Palmer : The down hole tools didn't improve as much as some of the other ones. It did have a nice improvement. But it's been strong all along. It didn't experience much change or any weakness last year even. So for the fact that it's still showing improvements is quite strong. I think the percentage improvement from first quarter to second quarter of coil tubing was percentage wise stronger even than pumping. Pumping again representing a much bigger piece of the pie. But that's just a little more color that those two were particularly strong. The down hole tools and coil tubing in particular.
Operator:  So next is Rob MacKenzie with FBR Capital Markets.
Rob MacKenzie - FBR Capital Markets : How are you guys thinking about whether or not to add additional frac capacity beyond the currently planned deliveries?
Rick Hubbell:  How are we making that determination?
Jim Landers:  Yes, about adding additional frac capacity beyond what we're thinking about right now was his question.
Rick Hubbell : Again, looking at the same things. Looking at the geography, the customer mix, the demand, listen to our customers needs and how those align with what we think is possible from our perspective. We certainly don't want to get ahead of ourselves or get too much going and allow ourselves to stumble. So again, we're just lucky enough that we have enough opportunities out there that we are closely analyzing those and evaluating whether the timeline that works for us works for our customers and that sort of thing. So all of those things are being considered. And again, there are many requests for capacity and so we're lucky that we can pick and choose.
Rob MacKenzie - FBR Capital Markets :  How concerned are you that we might be facing another imminent situation of over built capacity, given the context of what FMC Technologies said is near record levels of ordering for the high pressure treating iron?
Rick Hubbell : I would say that I think the industry, last time we were particularly impacted by private equity coming in, smaller players flooding the market. I think these, where the demand is now, cannot be satisfied by a start up in my opinion, here in the short term anyway, number one. So it's mostly industry players that are making the evaluation. I think number two, with these term contracts, I hope that the industry will be able to see that if they don't have contract opportunities, they're not going to be adding capacity because if all the customers have the capacity they need, and everybody's locked up for several quarters or months, or even years, that people would not add capacity into that environment. So I think those are a couple of drivers that otherwise might reduce the amount of over capacity. It think it's likely that at some point we will say there is more capacity than we would like there to be. We're clearly not there yet, but that's the nature of this market, and the oil and gas industry, and business in general that it will swing. But for now, I think there is some discipline and we're hoping that will hold.
Jim Landers : Rob, this is Jim too. I know you know these stats, but the market stats as well as what our customers are telling us is that the increasing service intensive nature of an increasing part of the rig count is at this point, using hydraulic horsepower in the pressure pumping business. The unconventional rig count in the second quarter of 2010 was 80% higher than in '09. And I know you know those stats as well as we do, but right at this point, customers are demanding more capacity and more service from us…
Rob MacKenzie - FBR Capital Markets :  And that actually segues very nicely into my next question. It's my understanding that the US frac horsepower is somewhere between 6.5 million and 7 million right now. What pace, given that comment, Jim, do you think that the demand is growing at for the next one to two years for incremental horsepower?
Jim Landers : Rob, I wish I knew. I don't know. I mean, wish I even had a good idea. Qualitatively, we are pleased at how much our customers are continuing to work, even though the price of natural gas is not bad, but it's not great. So that's kind of helpful and hopeful. Demand for natural gas ought to be better when the economic recovery takes hold. I'm saying when, not if. So I don't have a good answer for you.
Rob MacKenzie - FBR Capital Markets :  And then coming back to pricing, if I can, what if any pricing increases, and in which product lines, are you trying to currently push through on the margin right now? What are your incremental pricing initiatives? Are you trying to raise pricing again over what your last price hike? Or are you still just harvesting the last one?
Rick Hubbell : Well, we really don't have price hikes. We're just reducing our discounts. I mean we've not put into effect a new price book. But we are continually, every day, every week, trying to reduce that discount.
Ben Palmer : We're rolling off existing pricing agreements with additional customers, so it hadn't been an across-the-board discount reduction for price improvement during the last couple of quarters. But that's still rolling through the various fleets, but we've made some good progress and I know you didn't ask the question this way, but we're always looking for opportunities to increase prices, so.
Jim Landers : And at the same time we are exercising some discretion. We have a handful of great customers who were really good to us during the '09 downturn and weren't as hard on us as the market might have let them be. And we are frankly helping them out during the good times. So we appreciate that and are trying to form a partnership whenever possible, so. But we're price takers in the market at the time.
Rob MacKenzie - FBR Capital Markets :  I mean price hikes versus discounts reduction is the same net benefit on the income statement. But how would you characterize the momentum or the second derivative of your pricing changes? Are you picking up steam? Or is your progress slowing down some?
Rick Hubbell : Second derivative is probably greater than one at this point, but not by much. Greater than zero I mean.
Rob MacKenzie - FBR Capital Markets :  I think that, yes. Coming back to coil. One quick question on the coil tubing, if you will. Specifically, which diameter of coil are you finding the best economics with?
Jim Landers : Seems to be the 2-inch coil tubing units. That's what we're doing right now.
Rob MacKenzie - FBR Capital Markets :  And how would you characterize the relative economics of that, say versus 1.5 inch?
Rick Hubbell :  Well, it's almost a tactical market answer I think, Rob, because the demand's higher. It spends a lot more time working, the pricing is better. Because with 2 inch coil tubing units you can go out longer laterals. That's just more running time, so that in and of itself is good utilization also. And also you can schedule coil tubing a little bit better when your pressure pumping work is scheduled more regularly. So some of those operational logistics help as well. So three or four reasons.
Ben Palmer : It's a fair question. I think we're in the midst of such a monumental and tremendous change, transformation I guess is part of Rick's comments, that some of this is we'll see how it all shakes out after we go through the next few quarters and get some consistency, and kind of see where it moves. But clearly, based on the numbers now and the momentum obviously, we feel good about it and think we're in a good place. But some of it is we'll see how the market shakes out.
Rob MacKenzie - FBR Capital Markets :  Okay, and I guess the final question on that topic, if you will. Do you guys have any feel for what percentage of these long unconventional wells are perforated and et cetera using coil as opposed to conventional tubing? And how is that changing?
Rick Hubbell : Good question. I don't really think we have an answer to that.
Operator:  (Operator Instructions) We'll take our next question from Thomas McNamara with Impala.
Thomas McNamara - Impala :  Thank you for taking my question. I understand the competitive sensitivity about the geographic nature of the current pressure pumping fleet. But as the capacity is coming into work, is that going to be in existing areas? And I'm thinking more in the lines of startup cost or operational leverage.
Rick Hubbell : Good question. Some of those we're adding to existing regions, have moved into new regions. It's really all over the board. A reasonable question, but in evaluating the economics and the opportunities with our customers, we have different choices. So we clearly are not absorbing, we are clearly factoring in those startup costs in negotiations with our customers. It doesn't make sense for us to have the same pricing and move to a new location versus stay in the existing location. So that's part of the formula, the analysis that we go through.
Thomas McNamara - Impala: And just a second unrelated and it's more of a qualitative or you could even call it a touchy feely question. But you mentioned the Gulf and are you seeing any instances in your business where the actual relationship with customer, and safety, and reliability is becoming more of an important topic from a day-to-day aspect?
Rick Hubbell : There's no question about it. In the rental tool business people are much more focused on blowout preventers, and testing of blowout preventers, and certifications. So again, there is no question there is more focus on that today because of the Gulf of Mexico.
Ben Palmer : Even though it's small for us, our well control school is clearly seeing an increase in enrollment as companies try to, I guess both train their employees better, but also have the impression that their employees are current on their training. So again, it's pretty small for us, but there is clearly a benefit to that portion of our business as well.
Operator:  That concludes the question and answer session. At this time, I will turn the conference back over to Mr. Jim Landers for any additional or closing comments.
Jim Landers : Okay, thank you, Katie. And thanks to everyone who called in to listen. And we appreciate your questions as well. Appreciate it. Everybody have a good day.
Operator:  That does conclude today's conference. We thank you for your participation.